Erkka Salonen: Good day, ladies and gentlemen. I'm Erkka Salonen from Finnair Investor Relations, and it's my pleasure to welcome you to this Q4 2025 Earnings Call. I'm joined by our CEO, Turkka Kuusisto; and our CFO, Pia Aaltonen-Forsell. After the presentation, we have a Q&A session, and you may present your questions either by dialing in or using the chat function of the webcast. But with these words, I hand it over to you, Turkka.
Turkka Kuusisto: Thank you, Erkka, and very good afternoon to all of you joining us today. And today, we have shared, in my opinion, very good news earlier when we published our Q4 report that indicated a very strong profitability development, especially driven by the continued strong demand and solid execution. Pia will discuss, in short, the result in detail, but I would characterize it as a sum of multiple factors. Of course, we benefited from the lower than -- lower fuel price. But at the same time, when we added into the equation the increased cost from the environmental compliance, other regulatory charges, I would say that the cost management and effectiveness was extremely well executed with -- among the Finnair team. At the same time, we still saw and we will see a strong demand, especially in the Japanese and European market that performed, in my opinion, relatively well. That led into a close to a 1% revenue growth, but above all or more importantly, our comparable operating result increased almost by 29% versus the compared, that already was actually a significant improvement from 2023. As you recall some months back, mid-November, we announced our long-term financial targets and also the updated strategy. And therefore, I'm also very happy that already now, we start to see pieces of evidence that the strategy execution or implementation has started with good velocity. As a concrete example of regaining the trust after the, let's say, more difficult or disruption shadowed first half, we restored the confidence of our customers and also discuss about the employees, but also the external stakeholders that we have as a concrete example being that with Pia's lead, we did successfully issue a EUR 300 million bond just before the year closing. If and when we will take the regional perspective, as mentioned, our investment in further strengthening the Japanese foothold after the double crisis is paying off. All in all, the Asian markets continued double-digit growth, both in terms of capacity and revenue. And then if I take a deep dive into our foothold or market presence in Japan in the summer season of 2025, we flew 25 weekly frequencies between Helsinki and multiple destinations in Japan. And we are going to actually further strengthen that for the next summer season when we are adding 3 additional weekly frequencies from Helsinki to Osaka. Also, as already mentioned, Europe as a traffic region performed relatively well during Q4, whereas the domestic part was a bit more soft in terms of load factor development. And then Middle East, when we kind of characterize the profile of the business performance, we need to continue to keep in mind or bear in mind that we don't -- didn't fly anymore from Copenhagen or Stockholm to Doha under the Qatar Airways collaboration or umbrella. So therefore, the revenue development and the ASK development is extremely negative. Big question, of course, still related to how will the North Atlantic traffic develop during the forthcoming quarters. Still in Q4, we saw some softness in terms of ASK development and also load factors. But here, we need to continuously also bear in mind that our ASKs, 9% is allocated to the North Atlantic traffic, and we, of course, continue to monitor the development extra carefully. Then speaking of customers, obviously, when the first half of '25 was overshadowed by complex CLA negotiations that led into severe disruptions, we faced, of course, declining NPS. But I'm extremely happy when I started to see already in September that the NPS is recovering very rapidly after we were capable of stabilizing the operation and continue to fly with the kind of recognized Finnair quality and safety and functionality. So therefore, in Q4, which is the most demanding winter season, the NPS among the total customer population of ours graded 33, which is a good result in network carriers global benchmark. And if and when I'll take the core customer perspective, that is the core of our new strategy among the top tiers of Finnair Plus frequent flyer program, we are actually currently trending above 40. And as you can see from the chart on the right-hand side, the number of passengers continue to grow by 2% year-over-year. Then also maybe related to the disruptions that we faced during the first half of '25, it's important to address that we haven't witnessed significant changes in the capacity market share in our core markets. So these 2 charts, in my opinion, provides a lot of information that our stronghold in Helsinki and our stronghold in the Europe-Asia traffic is holding extremely well, and we will continue to develop our market presence accordingly. And then with this slide, I try to capture the highlights of 2025. So basically, the year was split into 2, difficult first half because of the industrial action and associated disruptions that caused directly more approximately EUR 70 million of negative EBIT impact. And then of course, we were not capable of flying the ASK plan that we had planned for the first half, but ever since we got the CLA disruption behind us early July, we were capable of stabilizing the operation very quickly and actually then, started to implement our profitability improvement actions. And then towards -- through Q3 towards Q4, we improved the momentum and velocity and therefore, very happy with the result. Report a full year result of EUR 60 million in form of comparable EBIT. Unflown ticket liability also grew by some 7%, which is a good forward-looking indicator that how the ticket sales did develop during the fourth quarter. Pia will discuss this in more detail. And then on the right-hand side, on the bottom right-hand side, you can see that the Board of Directors yesterday decided to propose a EUR 0.09 capital return to be decided in the AGM held later in this quarter. But maybe with these words, I would leave it for Pia to discuss the financials in more detail.
Pia Aaltonen-Forsell: Thank you, Turkka, and good afternoon, ladies and gentlemen. I just want to say a big thanks to our team, to our customers and to our partners. It's a great privilege to be able to present so strong quarterly figures, as Turkka said, on the back of a start of the year that was still very challenging on many fronts. I think we have ended the year on a very strong note. And therefore, I wanted to offer you a few sort of quarterly time series here with some comparisons on some of the key figures, just to sort of have that perspective. I'll start a bit with the top line and the revenue. As Turkka explained, we are in a market momentum in our key markets that's already a bit more positive. So we have seen some growth in the demand have seen some growth in our top line of about sort of 1% on a full year basis, which is pretty much equal to also, if you count in the wet leases, is how much we added to the capacity sort of holistically during the year. Please still keep in mind that due to the earlier strike situation, we did have cancellations, we have paid compensations, et cetera. Those all, of course, impact the top line as well. If I look at the quarter itself and especially, if I think about sort of the different parts of our business, maybe there's a few words still worth sort of mentioning. We have seen growth sort of through our different categories. So the ticket revenues, we've also seen this increase on the ancillary side. Ancillary is very important from our strategic perspective. The growth was not that fast during the quarter. The comparison period a year ago had a very strong campaign towards that end of the Q4 in '24. So that sort of impacts a little bit the comparison here, but we are still continuing on a good path. That is really important for us, I mean, already reaching over EUR 50 million impact per the quarter. And finally, cargo was sort of fairly stable in the period. Maybe those words are enough on the revenue side. Then let's turn our attention to the middle of the page, which is the graph on the operating profit. So the comparable operating profit to be exact. And you see our result was a stellar EUR 62 million for the fourth quarter. This is the strongest fourth quarter on record that we could find using the current accounting methods. And when you compare it to a year ago where we made EUR 48 million, we actually had a bit of strike impact, although it was EUR 5 million a year ago in the figures and none in this period. But from a cost perspective, there were a few external factors that are worth mentioning. I'll say first that we were supported year-on-year in the development by fuel prices and also a weaker dollar, that did bring us on a quarter-on-quarter comparison, maybe EUR 15 million of benefit. On the other hand, we also had higher sustainability regulation-related costs that's added more than EUR 10 million per quarter, as well as higher navigation and landing costs that also added about EUR 10 million per quarter. So the headwinds of these external factors were actually bigger than the tailwinds. Nonetheless, we still had a EUR 50 million uptick, and this came very much from somewhat higher sales, so we were growing, and we were able to do that in a good way also then sort of being able to use the scale benefits, have a good operational performance, and that helped us then to improve the result year-on-year. Finally, Turkka talked about the unflown ticket liability. I think that's a good sign of the momentum that we have right now that keeps on a stronger side, 7% increase sort of year-on-year. Of course, our business has a lot of seasonality. So you do see the quarterly variance here, but we are on a very good path. I have one more slide really from the profitability perspective. And I wanted to talk to you about revenue RASK and CASK, and just give still some perspectives into that development. I'll start on the revenue per available seat kilometer, the RASK key figure here. And many of the things that I mentioned before on the revenues obviously play in here. I think if you look at the sort of year-on-year development, we can say it's a bit of a sort of hanging in there, sort of making the best of the situation in a challenging year with the strikes, et cetera, during the first half. So clearly, there's been an impact out of that holistically. If we look at yields, I think it's worth still picking up on what Turkka also said, showing the geographical areas before. Though we see a positive development holistically year-on-year throughout Asia, particularly Japan has been a very important market for us, as Turkka said, we also see a good development in Europe if we look at the full year. But the North Atlantic traffic, that has been also from a yield perspective under pressure, and that's due to the sort of holistic situation that we face in that market, and I think that put a little bit of a lead or a little bit of a pressure here on our yield development. So kind of keeping all of that in mind, I still think we have a decent development through the year. On the cost side, the lower fuel costs are helping us, but those other higher regulatory costs as well as landing, navigation costs, et cetera, they all come through here. So you can still see that we've done a good job in mitigating some of the impact. And I think just looking from everything, there's also some seasonal variance. I take one example, maintenance cost. I think we managed really good in the fourth quarter. And obviously, sort of between the quarters, there could be a little bit of changes. I think we have also structurally made some changes as we are through '23, through '24, and a little bit in '25 also done some lease buyouts that are, to some extent, then shifting between the lines, the cost of maintenance. That does give me a nice bridge now to my final page, which is more on cash flow and balance sheet. So let's have a look there. Our cash flow was robust. Obviously, cash flow very much built on the operative performance, the result as well in itself. I think there's only one thing that I wanted to pick up from the cash flow side page here that you can see on the slide that you see on the left-hand side, and that is to explain that if you are keen on details, look sort of from our reporting a year ago, we had a bit of a reclass there on the credit card holdback that sort of boosted from a reporting perspective the figure in the year-on-year comparison. But I think sort of operationally, a good performance in this quarter. Let's talk a little bit about CapEx. Going forward, we do expect a CapEx amount, EUR 400 million to EUR 500 million per year. We are also guiding sort of about that midpoint for 2026. You can see that in 2025, we were coming towards a little bit lower figure. Actually, the gross CapEx was less than EUR 200 million. There was quite a lot of buyout still in this. It was a bit north of EUR 100 million, so lease buyouts, and there was also a EUR 64 million of sort of more maintenance-related CapEx and then some investments, for example, into digital, et cetera. So that was really what we were working with in '25. Looking into '26, this will increase a bit, aligned with the communication that we had on our CMD in November. And finally, it's good to end the year with a robust cash position and still with a good leverage, 1.8, and a good cash to sales ratio, as you can see in the chart to the right. So I think we have a good setup for starting to work into 2026. And on that note, Turkka, please, over to you.
Turkka Kuusisto: Thank you, Pia. So to some extent, recapping what we said in connection with the Capital Markets update we held in the middle of November. The strategy is pretty much now centered around the customers and more specifically, core customers because the network setup that we have, have, of course, changed because of obvious reasons. But now after 3 fiscal years since the Russian airspace was closed, Finnair has now demonstrated that we can operate a profitable network carrier even though the Russian airspace is and most likely will remain closed for the time being. So therefore, we have highlighted the focus on traveling to and from Finland while continuously keeping in mind that we are still extremely important transfer carrier for international passengers who connect from Helsinki to European destinations, for instance. This Japanese example that I provided you with earlier is a concrete piece of evidence that we are very strong in Europe, Asia traffic even though the Russian airspace is closed. So the strategic priorities that we shared also with you a few months back pretty much now focus on further optimizing this rebalanced or repivoted network of ours and continuously searching for new route openings, for instance. At the same time, of course, taking good care of the safety, reliability and convenience and functionality of the operations that we run, which enables us to monetize on our commercials, providing more choice through modern retailing. And as you can see from our numbers that the revenue received or collected from the ancillary sales was more than EUR 50 million again during the fourth quarter. There was a bit of a hold or pause in the growth rate, but there is an item affecting the comparability because last year around, we did have a very extensive Avios points sales campaign, but what we continue to forecast is a very solid growth on the ancillary side. And then, of course, when we get a more intimate relationship with our customers, we can then extract the full benefit out of the Finnair Plus frequent flyer program. Then taking from the kind of this 30,000 feet to more grassroot level, concrete examples, we are opening 12 European destinations for the summer season 2026. And very exciting news, published a few weeks ago when we communicated that we will be opening a route from Helsinki via Bangkok to Melbourne. And while at the same time, adding this third daily flight from Helsinki to Bangkok, again to kind of strengthen our presence in the Far East Asia market. Of course, we continue to invest in addition to aircraft and the new fleet scheme into other areas as well. AI and digitalization and other technologies will influence significantly that how an airline like Finnair will be run, operated and led in the future. And we do have a lot of initiatives ongoing, where we can utilize the next-generation technology, be it fuel efficiency, route optimization, back-end processes and such. And speaking of digitalization, we will also continue to invest in the, let's say, digital footprint or digital experience of Finnair in form of new mobile applications, for instance, that will be launched later this year. And then as a maybe final remark from my side related to strategy and on the journey ahead. Of course, given the double crisis, maybe even the longer legacy when it comes to an organization undergoing a significant transformation. And then, of course, the CLA spring that we faced, we want to now invest with extra care when it comes to further developing the engagement, cultural development, leadership and also employee well-being at Finnair. And I was extremely positively maybe even surprised at how much our engagement score increased when we measured it last time in the midpoint of November and December. So it, again, gives us a lot of confidence that we have selected a right path. We are on the right journey with our colleagues that represent 5,800 kind of professionals across the entire organization. To kind of finalize the presentation phase, outlook and guidance provided today. We expect that the global air traffic will continue to grow 2026. We estimate that our total capacity measured by ASKs will grow approximately by 5% during 2026. And then, of course, when giving outlook and forward-looking statements, we continuously need to keep in mind the macro volatility, geopolitical tensions and also the fuel price volatility. But given all this, we are today estimating that our revenue for full year 2026 will be within a range of EUR 3.3 billion to EUR 3.4 billion, and the comparable operating result to be within a range from EUR 120 million up to EUR 190 million. So I guess that with these words, we will close to presentation and open for Q&A.
Erkka Salonen: Yes, indeed. Thank you, Turkka. So now would be a convenient time for any questions you may have. Please follow the operator's instructions or use the chat function.
Operator: [Operator Instructions] The next question comes from Jaakko Tyrvainen from SEB.
Jaakko Tyrväinen: Sorry, I didn't hear the early part of the presentation, so if I'm repeating here. But could you give some color where you are about to play the capacity increase in '26? The point that it will be mainly Europe and Asia routes?
Pia Aaltonen-Forsell: Yes, Jaakko. And I think maybe some of that was mentioned, but I think it's very well worth repeating. So of course, looking into Asia, we are further strengthening Japan with 3 more weekly routes during -- or weekly during the summer season. And as well, we have launched the Melbourne route from winter season of '26, and that will then also mean that we fly to Bangkok 3 times per day. So that's sort of the Asia part of it. And then when it comes to Europe, I think, for the summer season, we have launched quite a few sort of interesting destinations, if you are interested in Stavanger or Umea or Luxembourg, and there's plenty more there, all in all, 12 of them. So I think we have a plan that has already raised some attention and some interest, and that's what we are up to now.
Jaakko Tyrväinen: Great. And then what about the competitive environment at the Helsinki Airport now that given that all the players should have kind of published their route plans for '26, how you're looking the upcoming competition for the start of the year?
Turkka Kuusisto: Of course, competition is something that we will face on daily basis. This is a globally competitive business and sector. When it comes to Helsinki Airport specifically, we kind of knew that there might be an opening from Middle East to Helsinki. And therefore, we already actually -- we are one step ahead by introducing this third daily connection from Helsinki to Bangkok to mitigate the impact. And then at the same time, it's extremely important to put this into a context -- into context. Our traffic area, Middle East represents some 3% of our ASKs and revenues, and this specific route from Helsinki to Dubai, we fly it only during the winter season. So I wouldn't like to underestimate the impact, but I would kind of position it there for the time being rather insignificant, especially given the connectivity beyond Helsinki. So should one kind of arrive at Helsinki, 70% of the passengers will continue to somewhere else with our aircraft.
Jaakko Tyrväinen: Excellent. Then if we think about the guidance and the EBIT version of it, if we exclude the industrial actions impact in '25, which factors are you seeing being the kind of the most important profit growth drivers for '26? Is it volume, pricing perhaps or costs?
Pia Aaltonen-Forsell: Yes. Thanks, Jaakko. I think the volume part, the growth part here is an important driver. I mean we are seeing ASKs growing approximately 5% and you also see that in the top line guidance there, the EUR 3.3 billion to EUR 3.4 billion that we are expecting on the revenue side. So clearly, that's a big driver because that then also helps us to keep kind of spread the cost in many cases over sort of a bigger spectrum. But of course, we will need to keep the cost control, and we will also need to deliver on other parts of the strategy. That includes, for example, the ancillary sales, and that as well includes certain efforts that we are making in digitalization and AI that will also help us on the cost side. But it's more the growth and the revenue sort of in that context.
Jaakko Tyrväinen: Good. And then the final one from my side. Did I get it right in your presentation that there will be further material inflation when it comes to traffic charges in '26?
Pia Aaltonen-Forsell: At least in my presentation, Jaakko, the point I tried to make was to really describe the impact in '25, which even in the quarter was EUR 10 million per quarter. And I think there was a big sort of pressure sort of following COVID and the losses, of course, of many of these, let's say, national very regulated agencies. So at least sort of as far as I can see right now, many of those really step changes that were needed to sort of cover for history probably occurred during '25, but that doesn't mean that this is without inflation, but probably the big step change has occurred.
Operator: The next question comes from Joonas Ilvonen from Evli.
Joonas Ilvonen: It's Joonas from Evli. Congrats on very strong earnings. You already talked about the cost side of Q4. But could you elaborate a little bit? I mean when I look at your cost line items, is there anything to highlight there? I mean, lines like passenger and marketing as well as aircraft materials and overhaul? I think they were all like slightly lower than estimated. So would you say that this kind of so-called, as you said, solid operational execution, is it repeatable throughout 2026 as well? Because in my opinion, if you were able to be as successful in terms of cost over 2026, then you would have basically no trouble reaching the upper end of your EBIT guidance. So is there anything to like highlight? Or do you think how repeatable this kind of cost performance is?
Pia Aaltonen-Forsell: Thank you, Joonas. I think 2025 saw many sort of particular challenges also when it comes to sort of maintaining the customer satisfaction when we had cancellations earlier and also kind of handling those situations. So I think we sort of came into a more normal environment then during Q4. So maybe there is room to say, yes, there is a bit of a sort of better situation that we have reached. I would, however, point out that when it comes to maintenance, so I see there is a little bit of sort of just timing topics, whether they occur in one quarter or in another. So I don't see that we structurally would have achieved a situation where we have lower maintenance cost. We are, of course, at the moment, still having an aging fleet. So that is one that I just think there were maybe more a bit of sort of quarterly variations. There is a structural change, but it only goes kind of in between lines because when we have bought more of the leasebacks, it means that some of the costs that were previously shown separately under sort of maintenance cost could now go into the depreciation line because some of the bigger overhauls would be treated as CapEx when they are to our own equipment. So there is a slight change, but that, of course, is not impacting the EBIT line as such.
Joonas Ilvonen: All right. That's clear. And then about your revenue guidance, you already talked about this a bit. And you say you expect your capacity to grow 5% this year. But overall, I think your revenue guidance is -- I mean you expect quite robust growth. So to what extent beyond higher capacity do you expect passenger load factors and ticket prices to contribute to growth?
Pia Aaltonen-Forsell: There is definitely -- just looking at the market environment and then the capacity growth in combination with our guidance, I think we are seeing some improvements in the load factor throughout the yield. And I don't want to comment on the yields in particularly. I just -- I think it's just good to sort of look at the full network that we have and the ability that we still have to boost Asia to some extent. So this sort of a mix thing is a good one to consider.
Joonas Ilvonen: So you're basically still following the development of North Atlantic demand closely, but you're quite confident on Asia and Europe going to develop well also in 2026?
Pia Aaltonen-Forsell: I think we have seen North Atlantic sort of continue kind of on the same path that we have seen before. But long term, we are still having capacity on those lines. And let's see when's that time for the changes.
Operator: The next question comes from Pasi Vaisanen from Nordea.
Pasi Väisänen: This is Pasi from Nordea. If I may start with this new route openings. So these new connections you have announced, are they supporting or kind of declining your average yield? I would assume that there are no easy wins available anymore. So how you are making the calculations for these new routes in terms of your kind of economical reasoning of the opening?
Turkka Kuusisto: I guess time will tell what the yields will be eventually. But there is, of course, very diligent analysis behind when we are opening a new route. But especially the new openings in the Nordic region, we feel that there is currently a bit of a vacuum when it comes to providing regional flying from many of the Nordic destination to a Helsinki hub that then provides connectivity beyond Helsinki. Then when it comes to the Toronto route, that is a kind of a reopening for the summer season '26. And then this Bangkok-Melbourne route that we communicated, too early to tell. But of course, it's a combination of optimizing your yields and then also capturing new passengers or passenger flows to your entire network. So that's maybe something that we will revert to when we meet you for the next time.
Pasi Väisänen: Yes, I see. And secondly then kind of looking at your investment program. So if you're now kind of buying new or kind of used planes in this spring, are these planes already included on your 5% capacity growth guidance on this year or not?
Pia Aaltonen-Forsell: So we have a plan for growing capacity, and we have a plan of the CapEx as well, which is somewhere like around EUR 450 million for the year. And this is like sort of including also then the capacity increases. Of course, these are all plans and estimates at this point in time, but this is sort of how they hook together.
Turkka Kuusisto: Yes. And it's always a combination of then maybe switching your balance from wet lease operation to your, let's say, new, although secondary acquired or secondhand acquired fleet. So therefore, again, too early to tell.
Pasi Väisänen: Yes. But this investment guidance is in line with the 5% estimated capacity growth guidance for this year?
Turkka Kuusisto: Yes. Yes, that's correct.
Pasi Väisänen: Yes. And were there any kind of one-offs in last year, let's say, coming from the strikes or the accidents, which actually would kind of somehow be on comparable for the 5% increase on capacity on this year? Or is it on comparable basis excluding those one-offs?
Pia Aaltonen-Forsell: I think it is on comparable basis. I mean, of course, the strikes impacted holistically the year including the top line. But I mean, we have reported the full figures and we still continue to fly throughout the year.
Pasi Väisänen: Yes. And then when looking at your guidance for the full year in terms of operating profit, so kind of the fuel price is already up by 12% year-to-date on this year. So is this peak on the fuel costs also included on your full year guidance? Or have you made the kind of calculation regarding the end of December situation regarding the expected cost for fuel?
Pia Aaltonen-Forsell: Yes. Pasi, we are updating a minimum once a week sort of the full view relating to kind of what's the current price, what's the forward curve, what's our hedging ratio. This is kind of the -- one of very important drivers for our profitability. So my answer is yes. I mean we are standing here now today with sort of very recent updates of how we view the year. But obviously, we also recognize that this is a big reason for fluctuation. That is why we have a range in our EBIT guidance. And that is also why we wanted to sort of even specify that, hey, if we see a 10% change in the fuel price, that would be like approximately EUR 34 million delta in the result sort of from where we stand today.
Operator: The next question comes from Andrew Lobbenberg from Barclays.
Andrew Lobbenberg: Yes, congratulations on good results in this quarter. Sorry, just to repeat, just to make sure I understand correctly from your last question. The 5% growth, that is on what was actually flown in '25? Or is it on what was originally planned?
Pia Aaltonen-Forsell: It is what was actually flown, on what was actually flown. Yes.
Andrew Lobbenberg: Yes. Good. And are you able to tell us what the percentage capacity changes by region, North Atlantic, Asia, domestic Europe, can you give us that for the year?
Pia Aaltonen-Forsell: I don't have the percentages here for you, but based on the route openings and how we have described that, it's clear that there is more focus on Asia and then regionally within Europe.
Andrew Lobbenberg: Is there any reduction on the North Atlantic? Or does it go up because you're adding Toronto? Or are you pulling down some of those frequencies that came in this year?
Pia Aaltonen-Forsell: I don't think that we have any sort of significant pull-downs. Obviously, we are sort of constantly monitoring the load factors, et cetera. But Toronto is added as we have informed. But really, if I sort of look at the kind of the balanced picture of the world and where we are, there is then much more emphasis on the growth in Asia and in Europe.
Andrew Lobbenberg: And that growth in Asia, that's 3 weekly frequencies to Japan, is that what you were saying? Or is it 3 routes?
Pia Aaltonen-Forsell: Yes, from weekly frequencies.
Turkka Kuusisto: The 3 additional weekly frequencies from Helsinki to Osaka. So after that addition, we have 28 weekly frequencies from Helsinki to Japan.
Andrew Lobbenberg: Yes. Cool. And nothing changes otherwise, China, Korea, India?
Turkka Kuusisto: No. No big changes. No.
Andrew Lobbenberg: Yes. Okay. Then can I come back to the maintenance cost and the lease buybacks? Obviously, I should know this. But can you remind me how many aircraft in the year you bought back and how many were bought back in the fourth quarter?
Pia Aaltonen-Forsell: I think there was 3 or 4, but none in the fourth quarter. So obviously, this is a cumulative approach from something that we also did already back in '24. Actually, we did most of the lease buybacks already back in '23. So that shouldn't like bring any more sort of a year-on-year change between '24 and '25, but it's all sort of building into the status that we have.
Andrew Lobbenberg: And so there's no onetime effect from lease buybacks in the fourth quarter?
Pia Aaltonen-Forsell: No, no, no. I wouldn't say so. But it's a structural change. If you look over time, you would see those sort of shifts from the maintenance to the depreciation, those sort of particular sort of maintenance activities.
Andrew Lobbenberg: Yes, yes, yes. Makes sense. But when you did do them, did you have a onetime gain? Because other airlines recorded onetime gains releasing maintenance provisions. You have them, right?
Pia Aaltonen-Forsell: So we have released maintenance provisions accordingly, but I don't think that had any significant impact during 2025.
Andrew Lobbenberg: Despite doing 4 airplanes?
Pia Aaltonen-Forsell: So these were -- if you look sort of across our fleet and the ones that we were doing, then my answer is no. It didn't have a significant impact.
Andrew Lobbenberg: Okay. Because like Norwegian had a really big impact from it, but I guess there were newer, shinier planes.
Pia Aaltonen-Forsell: Must have been shinier.
Andrew Lobbenberg: And then I guess what I'd love is an update, and apologies, I also missed the start of the call and also perhaps, I'm just forgetting from the Capital Markets Day. Can you just remind us of what the status is of the fleet renewal on the mid-haul or short haul?
Turkka Kuusisto: So if you are referring to the partial renewal of the narrow-body fleet.
Andrew Lobbenberg: Exactly, yes.
Turkka Kuusisto: Yes. Thank you. So we're still working with the project or program. And as I said, in connection with the CMU events that we want to run a very thorough and diligent process. And therefore, unfortunately, today, we are not yet in the position of disclosing news, but I would expect that during the weeks to come, we should be over the finish line. So I kindly ask for extra patience.
Andrew Lobbenberg: Right. And is anything associated with that in your CapEx guide for this year in terms of deposit payments?
Pia Aaltonen-Forsell: I think within that sort of EUR 400 million to EUR 500 million or EUR 450 million range that we have, I don't also have any sort of significant items relating to that. There could be something, but it's really more on this sort of shorter-term buying used or arranging so that we can use, used aircraft, et cetera, that we also spoke about in the CMU. There are sort of more -- that is kind of closer in time. Therefore, it's also including in our plans for this year as well as then the capacity increase for this year.
Operator: [Operator Instructions] The next question comes from Kurt Hofmann from Air Transport World.
Kurt Hofmann: Regarding Australia, it's quite an interesting move you do and as such, the route is quite an -- I can imagine, quite an investment. What are your expectations on this Australia route? And on the North Atlantic, do you see -- many of your colleagues see some uncertainty on the North Atlantic market. Do you see some overcapacity this coming summer and you have to adjust maybe the North Atlantic network?
Turkka Kuusisto: So if I start with the North Atlantic traffic, of course, we follow the booking curve very diligently. And then if we need to react, I think that we are well positioned to fine-tune or optimize the weekly schedule to North America. So let's see. But too early to draw conclusions because we are still in the, let's say, the hot season of selling tickets to the summer season '26. When it comes to the Melbourne route, that is, of course, a new opening for Finnair, and it has received quite a lot of interest. Too early to tell that how the ticket sales or the booking curve will develop. I'm personally actually visiting Melbourne next week to strengthen the relationship. And it's also about the kind of tactics or activity that we wanted to do that we added this third daily connection from Helsinki to Bangkok. So it opens us an opportunity to -- with rather low risk level to test this avenue. And we are, of course, doing it with our oneworld partners to also attract kind of a shared interest. So let's see how it develops, but I find it as a fascinating opening.
Kurt Hofmann: Yes, I fully agree. And you're one of only a few carriers, which is doing Australia from Europe. Regarding fleet, as the Qantas A330s, I remember from our last call, they will return in the future. What's your plans on the A330? You need all of them or you maybe phase them out, some of them because on the route network, the range is not enough to do more nonstops with them?
Turkka Kuusisto: No, I guess that's, again, kind of a multifactor optimization exercise how the booking curve development will kind of develop towards the summer season. Then of course, A330s, as you know, are very good workhorses and the spare part availability is rather limited for the time being. So we might consider a hot spare. But then if the kind of the passenger volumes are developing according to our plan, then we will utilize it in our own flying. So we have multiple avenues to get benefit from the assets that will be returned from Qantas.
Kurt Hofmann: Yes. Okay. And one topic as now you resized your last A350, do you think for a new order on wide-body aircraft for a future fleet, maybe, let's say, A330neos in the future or A350, you have to think about this as well? And when you need new narrow-bodies, how many new narrow-body aircraft you would need actually in the future?
Turkka Kuusisto: Time will tell. We will now want to finalize this campaign that we are running when it comes to partial renewal of the narrow-body fleet. And as we've communicated, we have 15 aircraft, 5, A319s; and 10 A320s that are approaching the end of their life cycle. So that is the most urgent need. But then, of course, we need to take into consideration the projected market and passenger volume growth. So that will be kind of the equation through which -- by which we will then eventually decide that what's the size of the narrow-body fleet investment also quantity-wise. Then when it comes to wide-bodies, too early because we still have one incoming A350, which is a fantastic aircraft, especially in the current geopolitical situation. And as you mentioned by yourself, those 2, A330s that will be returned from Qantas to us, I think that we are well off now when it comes to wide-body capacity.
Kurt Hofmann: Okay. Final question. If the airspace one day via Russia will open again, and we have for sure no signs at the moment, how fast you can react to restore flights again via Russia?
Turkka Kuusisto: That's, of course, very complex question. So if I take the easiest part when it comes to day-to-day operations, that is, I guess, the most -- the quickest activity when you could get back to those 24-hour rotations. But then there are other big questions related to -- over flight rights, insurances and such. So quite a lot needs to happen on the, first, in the political field and then the system level before we can go into the operational level and then landing slots and what have you. But then from the operations standpoint, we are -- we can move very quickly, but quite a few steps must happen before running into the operational questions and the implementation plan.
Kurt Hofmann: Thank you very much. That's from my side. And I think I will meet you soon in Helsinki in about 2 weeks.
Erkka Salonen: It seems that there are no further questions, so we can conclude the call. Many thanks for joining, and have a nice day.
Turkka Kuusisto: Thank you. Have a nice afternoon.
Pia Aaltonen-Forsell: Thank you.